Operator: Thank you for standing by, and welcome to the Lightbridge Corporation Business Update and Third Quarter 2023 Conference Call. Please note that today's call is being recorded. It is now my pleasure to introduce Matthew Abenante, Director of Investor Relations for Lightbridge Corporation. 
Matthew Abenante: Thank you, Carmen, and thanks to all of you for joining us today. The company's earnings press release was distributed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at www.ltbridge.com. Joining us on the call today is Seth Grae, Chief Executive Officer; along with Andrey Mushakov, Executive Vice President for Nuclear Operations; Larry Goldman, Chief Financial Officer; and Sherrie Holloway, Controller. 
 I would like to remind our listeners that any statements on this call that are not historical facts are forward-looking statements. Today's presentation includes forward-looking statements about the company's competitive position and product and service offerings. During today's call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. 
 And with that, I would like to turn the call over to our first speaker, Seth Grae, Chief Executive Officer of Lightbridge. Hello, Seth. 
Seth Grae: Well, hello, Matt, and thank you, and thank you all for joining us to discuss Lightbridge's third quarter results. I want to start by thanking our team for performing exceptionally well in this highly dynamic environment as we continue to make meaningful progress on our fuel development, expanding our R&D footprint and bringing Lightbridge Fuel closer to reaching its commercial potential. We are developing advanced nuclear fuel for existing reactors as well as new water-cooled small modular reactors that we believe will bring significantly improved safety, economics and nonproliferation benefits. 
 Earlier this month, we announced an important engineering study with the Pitesti Nuclear Research Institute, which is a subsidiary of RATEN. The study will determine the compatibility of Lightbridge Fuel for using CANDU reactors. RATEN is a Romanian government Research Institute and specializes in R&D activities in the field of nuclear energy. Exploring the suitability of Lightbridge Fuel for use in CANDU reactors has many potential benefits for Lightbridge. Conventional CANDU fuel doesn't require enriched uranium. Instead, it uses natural uranium. We expect Lightbridge fuel to require uranium enriched to under 5% in CANDU reactors. We expect that this engineering study will confirm the enrichment level that is needed for Lightbridge Fuel. 
 Additionally, CANDU rods are much shorter in length and fuel for large light water reactors, only about 2 feet long and a typical bundle of rods weighs roughly 20 to 25 kilograms, so they are easier to handle. CANDU reactors can also be refueled without shutting down the reactor. This is a major advantage because the utility can replace the spent fuel bundles while keeping the reactor running which mitigates many technical and operational risks associated with testing new fuel designs and a CANDU reactor for a utility. We anticipate this engineering study will be completed by the end of 2024. 
 In July, we announced that Texas A&M University had been awarded approximately $1 million from the U.S. Department of Energy's Nuclear Energy University Program R&D awards. The funding is being used to evaluate thermal hydraulic performance of Lightbridge fuel in a NuScale small modular reactor. The study planned to be conducted over a span of 3 years, is designed to develop a comprehensive understanding of how Lightbridge Fuel performs inside an SMR designed by NuScale power. Partnering with us on this project is Structural Integrity Associates which will perform the thermal evaluation of Lightbridge fuel in the SMR using its Pegasus simulation software. This software represents a generation -- a next-generation fuel evaluation and design optimization tool, which will provide us with detailed insights into the performance of our fuel under various conditions.
 This is 1 of 2 current DOE-funded university studies that Lightbridge is participating in, together with our ongoing study led by MIT. MIT is evaluating accident-tolerant fuels in various types of small modular reactors. The study with MIT aims to simulate the fuel and safety performance -- the fuel and safety performance of Lightbridge fuel for a NuScale small module reactor and provides scope and analysis to improve the safety and economics of light water small modular reactors. In December, we announced our umbrella strategic partnership project and CRADA agreement with the Battelle Energy Alliance, the DOE's operating contractor for Idaho National Laboratory.
 These agreements will enable us to conduct radiation testing of fuel material samples in the advanced test reactor, which is America's largest research reactor. We will collect material performance data on the uranium-zirconium alloy used in Lightbridge fuel. We are actively examining the technical and operational aspects of Lightbridge fuel in a variety of reactor types that are operating around the world. The data we collect from our initiatives in the United States and Romania will apply to regulatory licensing and confirmation of our value proposition including safety, fuel performance and economic benefits of our fuel for use by utilities and other stakeholders.
 I'll turn the call over to Andrey Mushakov, Executive VP for Nuclear Operations, to review our ongoing fuel development activities. Andrey? 
Andrey Mushakov: Thank you, Seth. As Seth mentioned, we engaged Pitesti Nuclear Research Institute, a subsidiary of RATEN, to perform an engineering study to assess the compatibility and suitability of leverage fuel for using CANDU reactors. This assessment covers key areas, including mechanical design, Metronics analysis, and thermal and thermal hydraulic evaluations. I just returned from a trip to Romania, where our team had a project kickoff meeting for the CANDU engineering study with RATEN ICN's technical experts. We are pleased to be working with this world-class team of nuclear engineers and be able to benefit from their in-depth knowledge of CANDU reactors and the CANDU fuel technology.
 The outcome of this engineering study will play an important role in guiding future economic evaluations and navigating potential regulatory licensing related issues. During our project to -- with Idaho National Lab, we have recently been able to cash 3 initial ingots using depleted uranium and zirconium alloy materials that are currently undergoing characterization. Our next step is to scale up the ingot size to make it suitable for extrusion and then conduct initial extrusions from the scaled up ingots using depleted uranium. 
 We expect to start our collaboration with Texas A&M University, NuScale Power and Structural Integrity Associates soon on a $1 million study funded by the U.S. Department of Energy's Nuclear Energy University program R&D awards. This project entails a comprehensive characterization of the performance of the leverage fuel design, which will generate unique sets of experimental data of friction factor, flow and heat transfer behavior on the NuScale's light water, small module reactors simulated normal and off-normal conditions.
 The project is expected to accelerate the deployment of advanced fuels for light water, small modular reactor applications by leveraging the use of existing testing infrastructures and measuring basic thermo hydraulic properties. Our other ongoing DOE-funded university study led by MIT relates to evaluation of accident tolerant fuels in various small modular reactors. The project we are involved in with MIT aims to simulate the fuel and safety performance of Lightbridge Fuel for a new scale SMR and provide scope and analysis to improve the safety and economics of light water react to small modular reactors.
 With that, I'll turn the call over back to Seth. 
Seth Grae: Thank you, Andrey. Support for nuclear energy is one of the few strongly bipartisan issues in Congress. Earlier this month, Congressman Bob Latta and Jim Clyburn reintroduced the Nuclear Fuel Security Act to establish and expand critical United States nuclear fuel programs to boost domestic uranium mining, conversion and enrichment capacity. This pivotal legislation underscores the importance of bolstering our nation's domestic nuclear fuel capabilities. It is in the strong national security interest of the United States to reduce reliance on Russian conversion and enrichment of uranium. By focusing on expanding domestic capacity, we enhance energy security. This also can lead to sustainable clean nuclear energy growth and job creation. We believe Lightbridge Fuel could become part of helping the United States and our allies achieve energy independence and resilience.
 Last week, the International Energy Agency released its World Energy outlook for 2023. The report presents a bright future for nuclear energy, especially within the report's scenario for net-zero emissions. The IAEA foresees a doubling of today's global nuclear power capacity to limit emissions sufficiently by 2050. The report acknowledges that Nuclear power is gaining traction in key markets. Currently operating reactors are receiving operating license extensions. There is growing support for new projects. including the rising interest in small modular reactors, which further amplifies nuclear power's potential. 
 Many countries are announcing plans to boost investments in nuclear power including countries that currently do not have reactors. Lightbridge Fuel represents a unique opportunity for our growing nuclear sector. We invented Lightbridge fuel to bring major safety, economic and nonproliferation benefits for both existing large plans and future water-cooled small modular reactors.
 Now I will turn the call over to Larry Goldman, Chief Financial Officer, to summarize the company's financial results. Larry? 
Lawrence Goldman: Thank you, Seth, and good afternoon, everyone. For further information regarding our third quarter 2023 financial results and disclosures, please refer to our earnings release that we filed yesterday and our Form 10-Q that will be filed later today. The company's working capital position was $28.6 million at September 30, 2023, versus $28.7 million at December 31, 2022. Total assets were $30.1 million and total liabilities were $0.9 million at September 30, 2023. Today, we have ample working capital and financial flexibility to support our near-term fuel development expenditures. This is very important to Lightbridge and our stockholders as well as our external stakeholders such as the federal government to ensure that we have sufficient working capital as well as the ability to access capital in the future in order to conduct our R&D activity.
 Total cash and cash equivalents was $29.2 million as compared to $28.9 million at December 31, 2022, an increase of $0.3 million in cash and cash equivalents for the 9 months ended September 30, 2023. Total cash used in operating activities for the 9 months ended September 30, 2023, was $4.1 million which was the same amount as compared to the same period in 2022. Total cash provided by financing activities for the 9 months ended September 30, 2023, was $4.5 million. a decrease of $6.1 million as compared to the $10.6 million raised for the same period in 2022. This was due to a decrease in the net proceeds from the issuance of our common stock by our at-the-market or ATM facility.
 In support of our long-term business and future financing requirements with respect to our fuel development, we expect to see government funding in the future as well as new strategic alliances that may contain cost-sharing contributions and additional funding from others in order to help fund our future R&D milestones leading to the commercialization of our Lightbridge Fuel.
 I will now turn the call over to Sherrie Holloway, our Controller, who will go over our P&L financial results for the third quarter of 2023. Sherrie? 
Sherrie Holloway: Thank you, Larry. Net loss was $1.8 million for the third quarter ended September 30, 2023, compared to $2 million for the third quarter of 2022. Total R&D expenses amounted to $0.5 million for the 3 months ended September 30, 2023, compared to $0.2 million for the 3 months ended September 30, 2022, an increase of $0.3 million. This increase was primarily due to an increase in project labor costs incurred from the U.S. National Laboratories of $0.2 million and an increase in employee compensation and employee benefits and stock-based compensation of $0.2 million, offset by a decrease in other outside research and development costs of $0.1 million.
 Total G&A expenses were $1.6 million for the third quarter ended September 30, 2023, and compared to $2 million for the third quarter 2022. The decrease of $0.4 million was primarily due to a decrease in employee compensation and employee benefits of $0.5 million and a decrease in insurance expense of $0.1 million, offset by increase in stock-based compensation of $0.1 million and an increase in professional fees of $0.1 million. Total other operating income was 0 for the third quarter ended September 30, 2023, compared to $0.1 million for the third quarter of 2022. This $0.1 million decrease was due to the game voucher project that was completed in the first quarter of 2023. Total other income was $0.3 million for the third quarter ended September 30, 2023, compared to $0.1 million for the third quarter of 2022, an increase of $0.2 million. This increase in other income was due to an increase in interest income earned from our treasury bills and our bank savings account.
 Back to you, Seth. 
Seth Grae: Thank you, Sherrie. And thank you, everybody, for participating on today's call. We have not received any questions for this conference call. We look forward to providing additional updates. In the meantime, we can be reached at ir@ltbridge.com. Stay safe and well. Goodbye. 
Operator: Thank you. And this concludes today's conference. You may now disconnect.